Operator: Good afternoon. My name is Emily and I will be your conference operator today. At this time, I would like to welcome everyone to the SolarWinds Second Quarter 2019 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Dave Hafner, Vice President of Investor Relations, please go ahead.
Dave Hafner: Thank you, Emily. Good afternoon, everyone, and welcome to SolarWinds' second quarter 2019 earnings call. With me today are Kevin Thompson, our President and CEO; and Bart Kalsu, our Executive Vice President and CFO. Following prepared remarks from Kevin and Bart, we'll have a brief question-and-answer session. Please note that this call is being simultaneously webcast on our Investor Relations website at investors.solarwinds.com. Please remember that certain statements made during this call, including those concerning our financial outlook, our expectations regarding growth and profitability, our expectations regarding the impact and integration of the Samanage acquisition, our market opportunities and market share, our expectations regarding customer retention, and the adoption of our new product offerings by our customer base, areas of focus for our business, and our M&A strategy are forward-looking statements. These statements are subject to a number of risks, uncertainties, and assumptions described in our SEC filings including the risk factors discussed in our Form 10-K that was filed on February 25th, 2019 and the Form 10-Q that we plan to file by August 14th, 2019. Should any of these risks or uncertainties materialize or should any of our assumptions prove to be incorrect, actual company results could differ materially and adversely from those anticipated in these forward-looking statements. These statements are also based on currently available information and we undertake no duty to update this information except as required by law. The cautionary statements regarding these forward-looking statements are further described in today's press release. Unless otherwise noted all 2019 results that will be discussed on today's call will include adjustments for the adoption of ASC 606 and all 2018 financial measures discussed today will be presented on an ASC 605 basis. All year-over-year comparisons will be impacted by these adjustments in 2019 unless otherwise noted. The tables accompanying today's press release include a presentation of our 2019 results on an ASC 606 basis and an ASC 605 basis. We will also provide our results and our outlook for revenue growth rates on a constant currency basis to provide a framework for assessing our performance and how we expect our business to perform excluding the effect of foreign currency fluctuations. Our use and calculation of these non-GAAP financial measures are further explained in today's press release and a full reconciliation between each non-GAAP measure and its corresponding GAAP measure is provided in the tables accompanying the press release including adjustments for the impact of ASC 606. However, each non-GAAP item in our forward-looking financial outlook that we will provide today has not been reconciled to the comparable GAAP outlook item because providing projections of changes in individual balance sheet and income statement amounts is not possible without unreasonable effort and release of such reconciliations would imply an inappropriate degree of precision. Unless otherwise indicated, references to profitability and comparable measures refer to such measures on a non-GAAP basis. With that, I'll now turn the call over to Kevin.
Kevin Thompson: Thanks Dave. And thanks everyone for joining us for today's call. I'm very pleased with our second quarter 2019 results as they included accelerated top and bottom-line growth which resulted in total non-GAAP revenue and adjusted EBITDA that were both well above our outlook for the quarter. Second quarter non-GAAP revenue totaled $231 million, reflecting year-over-year growth on a constant currency basis of 15%. Adjusted EBITDA also exceeded the high end of our outlook range for the second quarter coming in at $111 million, reflecting year-over-year growth of 18% and an adjusted EBITDA margin of 48.1% as the majority of our revenue outperformance in the quarter flowed straight to the bottom-line despite the dilutive impact of the Samanage acquisition which closed during the second quarter. As we discussed on our first quarter earnings call in April, the addition of Samanage extends our hybrid IT management capabilities to the IT service management market allowing us to enhance our ability to serve the needs of the technology pro from the point of the identification of an issue through to the resolution of the issue. We plan to attack the ITSM market with the same disruptive SolarWinds approach you have seen us employ in the network and systems management market which include easy-to-deploy try-and-use products and a disruptive approach to pricing. The Samanage team has had a great attitude throughout the entire acquisition process and their excitement about becoming part of the SolarWinds family and commitment to making this acquisition successful has made the initial integration process go very well. We're excited about the new avenue of subscription revenue growth this brings for us in the ITSM market. We have moved through the first six months of 2019 with solid momentum to reflect the work we have done over the last three years to position ourselves as the hybrid IT management provider of choice for organizations who need a comprehensive set of products to manage their infrastructure and applications without regard to where those IT assets sit on-premise or in the cloud and without regard to where those IT assets need to be managed from. As we look across our business, we feel good about the opportunity we see for sustainable highly profitable long-term growth in each of our product lines, driven by the power of our go-to-market model which has historically resulted in low customer acquisition costs. In fact even if subscription revenues have increased dramatically as a percentage of total revenue over the last three years, we have seen these costs as a percentage of revenue from new bookings remain remarkably consistent. In addition a unique component of our operating approach is our global product development model which has allowed us to deliver high-quality products with frequent product releases at a low cost as a percentage of revenue. During the second quarter, we increased the pace of our revenue growth consistent with the outlook we provided at the beginning of the year. We have been able to drive acceleration in both our license and maintenance revenue and subscription revenue stream, which resulted from solid sales and marketing execution across our product line and an approach to product strategy that has resonated with our customers. Our subscription businesses performed well during the second quarter, delivering approximately $81 million in non-GAAP revenue and growth of 26% on a constant currency basis with non-GAAP subscription revenue increasing to 35% of total non-GAAP revenue for the quarter. Even when excluding the contribution from the Samanage acquisition, growth in non-GAAP subscription revenue accelerated significantly compared to the first quarter, led by a strong cohort growth from our MSP business. Subsequent to the closing of the acquisition, Samanage also performed well in the quarter. This performance resulted from the combination of strong traction that the Samanage Service Platform has been seeing in the market prior to the acquisition combined with the power of the SolarWinds brand and our initial work to accelerate demand generation and brand awareness for SSD, which we re-launched as SolarWinds Service Desk in late June. We remain confident in the outlook we provided on our first quarter earnings call for the revenue and adjusted EBITDA contribution from Samanage for 2019 as well as the long-term growth and profitability outlook, which we also provided. We also had a strong quarter performance from our on-premise business, as our portfolio of network and systems management products saw a combined constant currency license and maintenance revenue growth of 10% for the second quarter, including the highest rate of constant currency maintenance revenue growth we've delivered in the past five quarters at 12%. We believe the acceleration in license and maintenance revenue growth that we drove in the second quarter reflects the focus we have, on ensuring that we are providing technology pros with the solutions they need to solve the IT management problems that they are facing today, and that we remain committed to providing those solutions to the way they want them delivered at price points that are compelling. We also believe that we have assembled the most comprehensive product portfolio in IT management to meet the needs of the individual technology pro. In addition, we have continued to invest in our product, which solve problems in environments controlled directly by IT including on-premise behind corporate firewalls and in private and hosted data centers. It is this approach, which has allowed us to grow in a pace faster than the overall growth of this part of the IT management market. The market position we have created combined with our unique and powerful go-to-market model has enabled us to consistently add a large volume of new customers that averaged nearly 7,000 new customers per quarter over the last four quarters. We have added this large volume of new customers while at the same time retaining existing customers at an industry-leading rate and expanding our financial relationship with our customers over time. In fact, during the second quarter of 2019, we grew the number of customers with $100,000 or more of trailing 12-month spend with us to 780 from 761 at the end of the first quarter. We believe this reflects the strength of our product, which simply work and the viral nature of our land and expand model as almost all these large relationships started with a small initial purchase. As we look ahead, based on our strong on-premise product portfolio, the work we have done to make this product portfolio relevant in hybrid IT infrastructure environments, the relationships we have with our customers and our disruptive go-to-market approach aided by software we believe, we can continue to take market share from legacy IT management business. As a result, we expect our license and maintenance revenue to grow faster than the growth rate of the on-premise IT management market. With that, I will now turn the call over to Bart for a more detailed discussion of our Q2 results, and a view of our outlook for the second half of 2019.
Bart Kalsu: Thanks, Kevin. And thanks again to everyone joining us on today's call. Before I begin my remarks, I want to provide a little context. First, our GAAP results for the second quarter are presented in detail in our second quarter press release. I also want to provide a quick reminder that we will discuss the second quarter financial information on this call on a non-GAAP basis, and that we are presenting results as calculated under ASC 606, which aligns with the second quarter outlook we provided in April. The adjustments to revenue in the second quarter of 2019 required by ASC 606 netted to a $2000 difference as compared to ASC 605, while expenses were $1.2 million lower under ASC 606 driven by the capitalization and associated amortization of sales commissions. As Kevin indicated in his comments, the second quarter was another quarter of solid execution. We exceeded the high-end of our outlook for the quarter for total license and maintenance revenue as well as subscription revenue. The high end of our previous outlook for total revenue was $229 million, and we finished the second quarter with total revenue of $230.6 million, which reflects year-over-year growth of 14%. However, we continue to battle foreign currency headwinds in the second quarter and total revenue year-over-year growth on a constant currency basis was 15%. Non-GAAP recurring revenue was 83% of total non-GAAP revenue for the second quarter, and continues to increase as a percentage of our total revenue, which is consistent with what we talked about last year during our initial public offering and we expect that trend to continue when looking ahead. Okay, I'll now walk you through the financial details of our second quarter results. I'll then provide you with our outlook for the third quarter and full year before turning it back over to Kevin for some final thoughts. Second quarter revenue growth was led by non-GAAP subscription revenue of $80.6 million, which grew 23% year-over-year on a reported basis and 26% on a constant currency basis. This growth was led by our MSP product line, a solid contribution from our cloud-based application management products as well as the contribution from the Samanage acquisition that closed during the second quarter. We have continued to add products that expand our subscription revenue stream and expect subscription revenue to continue to lead our revenue growth for the second half of 2019. Our success at landing, and expanding, and retaining customers translated into a solid increase in monthly recurring revenue in the second quarter of 2019, driven primarily by our MSP business. Our average subscription net retention rate remained consistent at 105% for the trailing 12 months. We believe that our continued focus on high-quality new customer growth in our MSP business combined with price increases from the first half of 2019, strong net retention rates and the growth from the ITSM product line will result in an acceleration of subscription revenue growth in the second half of 2019. Total non-GAAP license and maintenance revenue was $150 million, which was an increase of 9% year-over-year on a reported basis and an increase of 10% on a constant currency basis. For the second quarter, non-GAAP maintenance revenue was $110.8 million, which was an increase of 11% year-over-year on a reported basis and an increase of 12% on a constant currency basis. Our strong maintenance revenue growth reflects the benefit of our unique maintenance model as it drives a higher proportion of recurring maintenance revenue for each dollar of license spend as compared to traditional license and maintenance models. Our maintenance growth also reflects the tailwind associated with six straight quarters of license revenue growth. However, we believe the primary driver of our maintenance growth is the loyalty of our customer base and their satisfaction with our products that is reflected by our high maintenance renewal rate, which was 96% on a trailing 12-month basis through the end of the second quarter. We also had a very strong quarter of non-GAAP profitability in the second quarter of 2019. Second quarter adjusted EBITDA was $110.9 million representing an adjusted EBITDA margin of over 48% and a strong quarter of growth as adjusted EBITDA increased by 18% year-over-year, well ahead of second quarter total revenue growth. We believe our ability to drive such high adjusted EBITDA in a quarter where we completed a dilutive acquisition is a great proof point of the leverage and efficiencies we have built into our operating model and the ability – and the ability we have to drive sustainable long-term earnings growth. Non-GAAP expenses were approximately $124.2 million in the second quarter of 2019 which includes $18.9 million of non-GAAP cost of revenue and $105.3 million in non-GAAP operating expenses, which reflects an 11% increase year-over-year. Keep in mind that 2019 sales and marketing expenses reflects the adoption of ASC 606 and would have been $1.2 million higher on a 605 basis. All of our non-GAAP expenses grew at a rate slower than our reported revenue growth for the quarter. That includes our sales and marketing expenses which were up 11% year-over-year. Sales and marketing spend as a percentage of total revenue was down year-over-year as a percentage of total revenue to 26.8% versus 27.5% in the second quarter of 2018 despite the dilutive impact of the Samanage acquisition. We have maintained a very consistent level of sales and marketing spend as a percentage of revenue over the last three years. However, over the same time frame we have built a very large subscription revenue stream, which has increased from 22% of total revenue to 35% of total revenue and we have consistently added a very high volume of new customers each quarter across all our product lines. We believe our ability to hold sales and marketing spend at a consistent level relative to revenue while doing those two things illustrates the power of the SolarWinds approach and the efficiencies built into our go-to-market model, which allow us to drive very high volume of new customers in the door each quarter at a very low cost without regard to whether they are buying a license or a subscription. We also have maintained non-GAAP gross margins of approximately 92% for more than three years as subscription revenue has increased meaningfully as a percentage of total revenue. We did a feat that very few companies have been able to accomplish. This further illustrates our point of view that having a large and growing subscription revenue stream does not mean you cannot also run a highly profitable business. And finally, we ended the quarter with $155 million of cash. The decrease in the end of the first quarter is primarily due to the acquisition of Samanage in the second quarter, which we financed with cash off of our balance sheet. Cash collections were strong in the second quarter. And DSOs at June 30 2019 were at 38 days down from a slightly higher level at the end of March. At June 30, our net leverage was at 4.2 times trailing 12-month adjusted EBITDA compared to 3.7 times at March 31, which is lower by almost half a turn compared to the post-acquisition pro forma net leverage we discussed on our first quarter earnings call. Our outlook for net leverage is for the ratio to be approximately 3.5 times by the end of 2019 assuming no additional acquisition activity. I will now walk you through our updated outlook for the full year and our outlook for the third quarter of 2019 before turning it over to Kevin for some final thoughts. Please note that, the revenue adjusted EBITDA and EPS outlook we are providing today was based on ASC 606. We will continue to also provide our quarterly results under 605 in our earnings releases for the remainder of 2019 for comparison purposes to prior year. However, we have shifted to providing our outlook on an ASC 606 basis given our full adoption of 606 from a systems and processes perspective and the acquisition of Samanage as well as the immaterial difference in revenue between the two standards. That said we will make sure to describe how our outlook has been impacted by the move to ASC 606 where applicable. So to quickly make a point, our total revenue outlook for the full year is effectively the same under 606 as it was under 605. Okay. I'll first walk you through our updated outlook for the full year. Foreign currency exchange rates are a bit of a moving target these days. As a result, our updated outlook for the remainder of the year now assumes a euro to USD exchange rate of 1.11 versus our initial 2019 assumption of 1.14. We're also assuming a pound to dollar exchange rate of 1.22, which is consistent with current trading ranges versus our initial 2019 assumption of 1.3. The strengthening of the U.S. dollar against these two key currencies is the root of most of our foreign currency headwinds so far in 2019. Our assumptions for other key foreign currency exchange rates are also lower against the U.S. dollar than they were in February of 2019, and lower than the assumptions we used for our revenue forecast from our first quarter earnings call in April due to currency exchange rates of those currencies. Foreign currency fluctuations have a larger relative impact on our subscription revenue than our license and maintenance revenue as our MSP business has a larger percentage of its revenue outside the U.S. compared to our license and maintenance business. Based on our strong results for the first half of 2019, we are updating and raising our 2019 revenue outlook for the full year, despite the additional increase in foreign currency headwind since we last provided our full year outlook on our first quarter earnings call. The strengthening of the U.S. dollar during the second quarter and through July has an incremental $3.5 million negative impact on our outlook for the second half of the year, which raises the cumulative negative impact from foreign currency on our beginning of the full year revenue outlook to over $7 million. In the face of these foreign currency headwinds, we have raised the high end of our full year revenue outlook by $17 million since it was initially provided. This increase includes an improvement in our outlook for organic growth of our license and maintenance and subscription product lines as well as the impact of the acquisition of Samanage in the second quarter of 2019. We now expect our full year 2019 non-GAAP total revenue to be in the range of $938 million to $950 million, representing growth of 12% to 14% over our total non-GAAP revenue in 2018. Note that consistent with the outlook we provided on our April earnings call, our revenue outlook is on a non-GAAP basis and excludes the purchase accounting-related reduction in Samanage's deferred revenue by -- required by GAAP. Adjusting our full year 2019 outlook, using the same foreign currency rates that we experienced in 2018, results in 2019 constant currency growth of 13% to 15%. Total license and maintenance revenue is expected to be in the range of $611 million to $619 million, representing growth of 7% to 9% on a reported basis, which equates to 8% to 10% on a constant currency basis. Non-GAAP subscription revenue is expected to be approximately $327 million to $331 million, representing growth of 23% to 24% on a reported basis and approximately 24% to 26% on a constant currency basis. Turning into the second quarter, we are meaningfully ahead of the pace necessary to deliver the range of profitability that we laid out at the beginning of the year as adjusted for the Samanage acquisition. As a result, we plan to take the opportunities to spend some incremental dollars on new growth initiatives over the back half of the year with the intent to deliver a level of profitability at the high end of the outlook range we previously provided. With that being said, adjusted EBITDA is expected to be in the range of $450 million to $453 million, representing an estimated adjusted EBITDA margin of approximately 48%. Non-GAAP fully diluted earnings per share, is expected to be in the range of $0.81 to $0.82 per share assuming an estimated 311.7 million diluted shares outstanding for 2019. Our full year 2019 EPS outlook reflects an assumed 21% non-GAAP tax rate. Now turning to our outlook for the third quarter of 2019, for the third quarter of 2019 we expect total non-GAAP revenue to be in the range of $241.5 million to $246 million, representing year-over-year growth of 13% to 15% on a reported basis and 14% to 16% growth on a constant currency basis. Total license and maintenance revenue for the third quarter is expected to be in the range of $157 million to $159.5 million, representing growth of 7% to 9% on a reported basis and 9% to 10% on a constant currency basis. Subscription revenue is expected to be in the range of $84.5 million to $86.5 million, representing growth of 25% to 27% on a reported basis and 25% to 28% on a constant currency basis. Adjusted EBITDA is expected to be in the range of $112 million to $113.5 million for the third quarter, representing an adjusted EBITDA margin of approximately 46%. This lower-margin percentage in the third quarter compared to the second quarter is due to the dilutive impact of the Samanage acquisition, which is consistent with the dilutive impact we expected Samanage to have in the third quarter. Excluding the impact of Samanage, we expect our adjusted EBITDA margins to be higher than those in the second quarter. Non-GAAP fully diluted earnings per share is expected to be between $0.19 and $0.20 per share, assuming an estimated 311.5 million diluted shares outstanding for the full quarter. Our outlook for the third quarter assumes a non-GAAP tax rate of 22% and we expect to pay approximately $8.5 million in cash taxes during the third quarter of 2019. With that, I'll now turn the call back over to Kevin.
Kevin Thompson: Thanks, Bart. As you can hear in our comments, we feel positive about the performance of the business over the first two quarters of 2019 and believe that we are positioned to deliver a year of accelerating subscription revenue growth and license and maintenance revenue growth. Our business has shown great operating leverage, even as recurring revenue as a percentage of total revenue. And specifically, subscription revenue as a percentage of total revenue have increased meaningfully. These operating results fly in the face of the conventional wisdom that a recurring revenue business cannot be highly profitable. As we have discussed previously, since the Take-Private transaction in 2016, we've been focused on increasing the percentage of our total revenues as recurring. As Bart stated in his comments, this focus has resulted in 83% of our total revenue being recurring in the first six months of 2019. And as we look into the future, it is our expectation, that the recurring revenue will continue to grow at a faster pace than total revenue, driven by our high-growth cloud-based subscription revenue products and the consistent growth of our maintenance revenue. I am pleased that over the course of the last two quarters, we've been able to raise our revenue outlook for 2019 to $950 million at the high end of our range, which reflects an increase of $17 million from the high end of the range of our initial outlook for 2019, which we provided on our third quarter 2018 earnings call. As Bart indicated in his comments, this increase is in spite of a $7 million in unexpected foreign currency headwinds, since we provided our original full year outlook for 2019. The increase in our outlook, when adjusted for the negative impact of these foreign currency headwinds, is over $24 million, which is comprised of a constant currency increase in our organic growth of approximately $12 million and an increase of approximately $12 million related to the Samanage acquisition. The increase in our organic growth outlook reflects the success that we have had in improving our license and maintenance revenue growth rates, while accelerating our subscription revenue cohort growth rate as we've moved through the first half of 2019. Consistent with our outlook, we have seen the momentum of our business accelerate sequentially in the second quarter and we expect this momentum to continue as we move through the remainder of 2019. We expect this acceleration to be reflected in our revenue growth and cash flow over the second half of the year. As we indicated on our first quarter earnings call, we have been focused on expanding the number of solutions we provide to our MSP customers, to enable them to address the broad set of challenges they face as they manage the IT environment for the hundreds of thousands of small and mid-size business customers which they serve. During the second quarter we launched several new products into our MSP customer base. This includes a new security offering, which allows our MSPs to move beyond just providing antivirus to their customers, to providing protection against a broad range of attacks that all companies are facing in today's threat-laden IT infrastructure world. And we recently launched SolarWinds Passportal Suite of products, which includes a set of passport management offerings and an IT documentation product for the MSP market. We have seen a high level of initial interest in each of these new products from our customers and expect to see strong penetration of our MSP customer base, with these products over the remainder of 2019 and through 2020. As we enter the second half of 2019 we are focused on several key growth initiatives. First, we are committed to driving a high level of interest in our new ITSM offering among the SolarWinds customer base. We did an initial launch of SolarWinds Service Desk, or SSD, into our customer base in early May and have already closed several transactions from that initial launch. During the second half of 2019 we plan to make driving adoption of SolarWinds SSD by our customers a high priority. We expect to learn a lot over the course of the next two quarters through this activity, which we believe will provide a road map for ITSM customer adoption as we move into 2020. Second, as I've just stated, we added a number of new offerings to our MSP product portfolio during the second quarter. These new products are positioned to be adopted by our existing MSP customers with the goal of driving improved cross-sell, resulting in higher net retention rates. Driving this adoption will be a high priority for our MSP team over the second half of the year. Third, we have aligned our public cloud management product portfolio around an application management story and that is the primary issue that this portfolio of cloud-based products addresses. This positioning has allowed us to begin to connect our on-premise-based products with our cloud-based products much more tightly. During the second quarter we also began to work to launch our application management products into the international markets, which we have planned for the second half of 2019. And in addition, late in the second quarter, we stood up a small dedicated sales team focused on selling our application management products into our core IT customer base. Now turning briefly to the environment for IT spending we are seeing in our business, as we get a number of questions about this when we're meeting with investors. The demand environment for IT management during the first half of 2019 has been solid. We have seen incremental strength in North America which includes U.S. Federal and in Asia Pacific. However, there has been some level of unevenness across the different regions in EMEA. Based on current indications we track, we believe that the IT spending environment in the back half of 2019 will be similar to what we saw in the first half of 2019 across most of the world. However, we do believe that the risk of additional uncertainty is increasing in EMEA, particularly in the U.K. due to the status of the Brexit negotiation. And while our confidence in our business has remained high, based on our results for the first half of 2019 the acceleration in growth we saw in the second quarter, the indications of acceleration we've seen in July, particular impact of new products we have recently released and our expansion into the ITSM market, we're also cognizant of these uncertainties in the global economic environment. We have considered the potential impact of these uncertainties on our results, for the second half of 2019. And believe that we are properly taking them into account in the outlook, for the remainder of the year that Bart just provided. The last topic I will briefly touch on is our M&A strategy. As we look forward to the remainder of 2019 and into 2020. I want to make sure there's a clear understanding of our thoughts, as it relates to potential future acquisition activity. First, we believe that strategic M&A is a core competency, which we have developed over the last 13 years. We have shown the ability to acquire companies and products and quickly put them into our go-to-market engine, driving growth and a high level of profitability. As you've seen from our financial results, our operating model has also historically allowed us, to generate cash quickly and deleverage rapidly. In fact despite spending approximately $350 million on acquisition, during the first half of 2019, our net leverage ratio at June 30 is only slightly higher, than where we began the year. As Bart indicated in his remarks, we expect it to drop over 0.5 turn, during the back half of 2019, assuming no additional M&A activity. Over the long-term we plan to run our business at or below a 3 times net leverage ratio. And we believe we can reach this goal while continuing to do strategic acquisitions. Second, we view the strategic M&A as a vehicle that we can successfully use, to quickly expand our position in markets where we have a presence today and as a way to move into new markets creating an immediate meaningful presence, just like we did, with the acquisition of Samanage which moved us into the ITSM market. Given the cash flow characteristics of our model, and our historical success in acquiring companies and products, and putting them into our highly profitable go-to-market motion, we plan to continue to look for opportunity to add product to our portfolio through M&A, which will allow us to be disruptive in markets where these acquired products compete. And while most of the M&A transactions we have done historically have been small. And our future transactions will also likely continue to be mainly on the smaller side, because we were looking for modern technologies that have been architected to be easy to try, to show value quickly and can be used by organizations of all sizes. We are not averse to taking advantage of opportunities to add meaningful growth engines to our business through, larger M&A transactions should they become available. However, just to be clear, a point of my comment on this topic is not to prepare investors for an announcement of an M&A transaction in the next few days. But rather I simply wanted to provide context on how we're thinking about M&A, so to the extent that we do additional acquisitions in the future, there's an understanding of our strategy. Once again thanks for joining us for our second quarter earnings call. And we will now open up the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Brad Zelnick from Credit Suisse. Your line is open.
Brad Zelnick: Great, thank you so much. And congrats on the continued momentum and really appreciate all the very thorough disclosure. My question Kevin is about security. With an acquisition in the password management space and also revamping log and event manager, can you remind us how you're thinking about security? And specifically, are you focused on expanding your security portfolio in the MSP space or you're thinking about it more broadly? Maybe it would help where would you go where wouldn't you go?
Kevin Thompson: Yes. So Brad, good question. I think if you look at what we've done so far. Most of the activity we've had has been around infrastructure. And when you think about security -- we think about security as it relates to infrastructure, not really about security that relates to kind of end point and necessarily access, when you think about the core IT market selling into that IT buyer, who's managing their own environment. So as we think about that market, we really are thinking about here is a security that is really more, infrastructure related. So whether that's vulnerability management, whether that is areas of access management -- I'm not talking about like a -- now I'm drawing blank. But I'll remember in a minute -- I'm not talking about single sign-on and those kinds of technologies I'm talking really more about, controlling who has access to, what we like those areas of technology, because those are directly related to and associated with our current buyer. On the MSP side of the business, a little bit different. The MSPs need to provide a very broad suite of security offerings to their end customers. Because the desire of small businesses is to get as much of the technology service they need. And when I say technology service, I mean product delivery as a service, not body-based services. They need as much of that technology service as they can, from a single vendor. And be able to look at all of that through a single UI to the extent that they can. So in the MSP business, we're likely to think about security in a slightly broader way. So we think about backup as part of security. This continuity if you have an issue. And we provide a backup offering in that space. We added password management, because small businesses don't need something like an -- it's simply too big. They just need to be able to control passwords. And make sure that password control is strong. And that if they need to be able to reset a password, they can do it very, very quickly. And so it's a much lighter view of access in the MSP market. We'll continue to build out that portfolio of security offering, based on what the MSPs. And their end customers are telling us that they need.
Brad Zelnick: Its very helpful context, thanks Kevin. And I just wanted to follow-up by asking about the MSP price increases. How is that being observed by the market versus what you expected earlier in the year? And do you see additional opportunities to take price ahead?
Kevin Thompson: So the price increases have been accepted pretty much the way we thought they would. There has been very little noise. No real impact on churn at all. And so that initial test if you will or pilot has gone well. We do believe there's opportunity to implement a price increase strategy. And as we move forward that has more consistency to it similar to what we do with our license and maintenance products on the maintenance side when we price -- increase price every year in the kind of 2.5% to 3.5% range, depending upon the year, depending upon the product. So you should expect that we will have a methodology somewhat like that as we move into 2020. We haven't nailed it down completely but will provide more visibility into that as we get closer to the end of the year, but I do think there's an opportunity to be able to do that.
Brad Zelnick: Make sense. Thanks for taking the questions.
Kevin Thompson: Thanks Brad.
Bart Kalsu: Thanks Brad.
Operator: Our next question comes from the line of John DiFucci from Jefferies. Your line is open.
John DiFucci: Thank you. And actually Kevin a follow-up to Brad's question he just asked. Just to be clear in the guidance that Bart just gave for next quarter and for the year, is there any implied further price increase in that guidance?
Kevin Thompson: No. There's no additional price increases in that guidance right now. We've done everything we're planning to do for this year in both the MSP business as well as in the license and maintenance business.
John DiFucci: Okay, great. And that's what I thought. I just wanted to clarify there. I guess one thing Kevin, this is great because we've covered you and Brad has too for a long time and it's like the last time as well as this time. And one of the things about SolarWinds is it can be very exciting sometimes around earnings. And this is just a solid quarter across the board, which is nice to see. And I hate to say it's boring it's not because it's solid and they're great results but it's not exciting in the other direction at all. It's good. One of the things that you mentioned when you're talking about some of the -- what you're looking at in your guidance some of the future -- I don't know caution might be too strong a word, but around EMEA. And I'm just curious you also mentioned despite a bunch of things, and you mentioned the acceleration in July. And I just wonder if you could expand a little bit more on that. So you got through your first month of the quarter -- by the way there's other companies that reported tonight that did not have good quarters and had really bad ones in infrastructure IT. And I'm just curious as to what you've seen so far in July?
Kevin Thompson: Yeah. So look I think what we saw in the second quarter, we saw it continue into the month of July, which is activity levels have been solid really across the world. We've had -- I mentioned in my comments we've had really incremental improvement in strength in North America. That includes both the commercial side of the North America business as well as the U.S. federal side of North America. We've also had very good results for a while now and that continued into the second quarter and into July at Asia Pacific. And EMEA results have been solid. They haven't been bad, but it's just one part of the world where we're seeing a little bit more uneven where certain countries in EMEA have been very strong, certain countries in EMEA had a little more volatility to the demand environment. And so we really try to take that into account as we look at what we think could happen in the second half of the year. The great thing is 83% of our revenue is recurring today. Most of the revenue we're going to get out of the recurring side of the business is deals that we've already booked. We will get some revenue some -- from new customers and expansion of existing customers that we have between now and end of year but that's a relatively small number compared to the total revenue number. So we really haven't seen a change in demand environment in July compared to the second quarter. But we definitely saw in the second quarter a little bit of noise in EMEA. The U.K. is where we saw kind of the most hesitation if you will particularly around small businesses where I think they're just waiting to see what happens from a Brexit perspective. And so we assume those trends continue as we look through the rest of the half and the rest of the year. So where there's unevenness we've assumed there will continue to be unevenness. Where we have strength, we've continued that that -- we've assumed that strength will continue at the level that it's at we've not assumed that it will get any stronger.
John DiFucci: Great. Okay, thanks a lot. Nice job guys. Thanks.
Kevin Thompson: Thank you.
Operator: Our next question comes from the line of Kirk Materne from Evercore ISI. Your line is open.
Kirk Materne: Thanks very much. Congrats on the quarter, and Kevin thanks for all the color around the macro environment. I guess, maybe I just want to start with the Samanage integration how that's going? And then maybe just as part of that maybe just your broader thoughts Kevin on the cloud portfolio right now. You made some comments around the app management products at the end. And just where you feel like you're sitting in that area right now and the ability for those products to really accelerate as we end 2019? Thanks.
Kevin Thompson: Sure. Yeah, so the integration of Samanage has gone really well. And I think I'd really credit most of that to the Samanage team. I think my team has worked hard but the Samanage team has been really committed to making sure that the integration process has gone very, very well. And that's integration from both a people perspective but also their adoption of a lot of our operating methodology, because we clearly are a business -- there's a defined set of methodologies, in which we operate. It's what allows us to run at the level of profitability we run at and still deliver the level of growth you've seen from us over time. And they've actually been really enthusiastic about learning from us and about being able to leverage those capabilities, which not every acquired company looks at the opportunity that way. So it's going really well. We feel good about the product. We feel good about the market opportunity. We feel better today than we did when we closed the acquisition, which is also not always the case. So I'm really enthusiastic about it. Our customers have shown a lot of interest. I mentioned we've already closed a couple of transactions with SolarWinds customers in a very short window of time. Because we didn't launch that product into our customer base until June, and so we closed some sales very, very quickly. In fact with one customer they were a long way down the road with a competitor. And as soon as they saw we had the product, they started to look at it and bought it from us in a couple of week period of time. So we feel really good with how that's going. And we got a lot of work to do. We have a lot to learn. Closing a couple of transactions is not closing hundreds and thousands of transactions at our customer base, which is ultimately the goal. So I feel really good about where we are right now. As it relates to our application management product, which is our cloud-based offering, I feel like we are in a good spot from a technology positioning and strategy perspective, I think a much better spot than we were six months ago. And I'll give that credit to the fact that I stopped running it directly and I put someone else in charge of it every day and they're doing a better job than I was doing. So, I feel like, we've got the product positioned well and we figured out the story we need to tell to our existing customers to get them to really understand the incremental value that set of products can provide for them. So, I feel like we're positioned well. It's still a small revenue number for us, but I think we've got it positioned the right way. And now the job over the next six months, nine months, 12 months is to really start to drive a very high level of adoption by that set of cloud-based products, by our existing customers. I want to make sure that we are really taking advantage of the Azure opportunity right now because we need to own that part of the cloud management market. No one else is really playing there and that's where our legacy is. We grew up as a Windows company. We manage all environments today. But we know Microsoft's environment, we believe better than everyone in all of IT management and we have more customers who are managing those environments we believe than anyone else. And so, I want to make sure, we're really capitalizing on that opportunity. So that's where you're going to see us really spend our time over the next six to 12 months. We'll still continue to do what we've been doing in any event, but I think there's a really close opportunity that's easy for us to win and where there's not a lot of competition right now, where we got a lot of credibility as a provider. So, I feel good about where we are. We just got to take what we've done and then turn that into kind of really explosive growth.
Kirk Materne: That’s great. Appreciate it, Kevin. Thanks again.
Kevin Thompson: Thanks Kirk.
Operator: Our next question comes from the line of Sanjit Singh from Morgan Stanley. Your line is open.
Sanjit Singh: Hi, thank you for taking the questions and congrats on another strong quarter. I want to talk about the on-premise business and particularly your license business which accelerated this quarter. I think, coming off of 2018, which is a very strong year for on-premise IT, there was a view on the industry that we could see slower growth this year. And by me looking at the results in the first half, it seems like you had accelerated. So Kevin, I was wondering if you could just sort of unpack sort of the factors that you see that's causing you to sustain this really impressive license and maintenance growth in the first half of this year.
Kevin Thompson: Yes. So I think there's a couple of factors Sanjit that we have been talking about and I think we've done a good job of executing all of it. First, I mentioned in my comments that there's a lot of technology still deployed, still being deployed, new technology being deployed in environments at IT pros control. So whether that's behind-the-firewall, private data centers, hosted data centers, IT pros have to manage those technologies. And I think the only thing we've done that most of the other players in this space has not done they have technology to manage those environments really well. We've continued to invest in our products. We've continued to make them better. We've continued to give them the ability to solve the problem more effectively than they solve them yesterday. And our customers in the market at large see that investment by us. And they see that we're committed to continue to provide them technologies to manage those environments because we don't believe those environments are going away anytime soon if ever. And that's a big difference when you look at the market. Our products are simply better than anyone else's and our level of investment is higher. And then we're doing great job I think on the marketing side of telling people, the great things we're doing with those products. So we're taking share pretty quickly right now. And I think we'll continue to take share pretty quickly because there's no one that has the breadth of products we have and no one is investing at the level that we've invested. The other factor is and I know we mentioned this kind of two calls ago, I think or maybe even three, I can't remember now because, we've now done four of these which is hard to believe since we went public is that our products are also very relevant in the public cloud world. And we've got a number of customers who want to have the exact same level of visibility through the same product in -- with their infrastructure that sits in the public cloud as their infrastructure that sits on-premise. So a number of our customers have expanded their -- of our customers have expanded the use of our products to not only manage the environment they control directly, but also to manage the assets they have sitting in the public cloud, so they can see through one UI in a consolidated view of performance. And so, as they do that, many of them are having to come back and buy more licenses from us because they don't have enough capacity to manage that now larger cumulative environment. And I think we'll continue to see that trend grow as we move forward. So it's not just our public cloud management, our application management products that are being used to manage public cloud, it's also that -- those on-premise products because they have the ability to do that also. Like those are the two things that we've done, that allowed us to continue to grow at a pace that's kind of what four or five times faster than the market. And we feel pretty good about our ability to continue to grow at a very nice high single-digit pace in that part of our business.
Sanjit Singh: That's really great to hear. And maybe if I ask basically the same question, but for the MSP business, you mentioned in your script that you guys are seeing improved cohort growth. Is that driven from just greater usage of existing services within the MSP base, more and more customer base growth? Or are you starting to see the uptake of a lot of the new products and services that you guys have unleashed or put out to market the last couple of quarters?
Kevin Thompson: Yes. So, you're looking at a couple of factors that are driving that. So one, if you remember, I think we talked in January or February about the fact that we wanted to make sure with our MSP customer base that we are bringing MSPs into that customer base that were solid stable businesses that we believe would grow over time. And then we have made some changes to our compensation program in Q4 2018 to make sure our reps were focused on bringing customers in and then making sure those customers grow in their first 6 months to 9 months of their relationship with us because we've seen historically that if a customer grows in the first 6 months to 9 months that they will grow for a longer period of time at a faster pace and they'll churn at a lower rate. And so that focus has really worked incredibly well. So that's been really the primary driver of that improvement in cohort growth. We have now added -- in the second quarter we added a couple of products early this year new products that sell into the MSP customer base, we are having success with those products. We're seeing a high level of interest in those products. And we've seen a meaningful level of adoption, but there's not a lot of revenue yet because it's an MRR model and their usage of a new product from us is going to grow really every month they have that new product. So that's a secondary factor, but one that we believe will have a bigger impact in the second half of the year than it did in the first half of the year. As long as we have a high degree of confidence, we're going to continue to see acceleration in that sufficient revenue growth over the second half of the year because we are seeing that adoption starting to happen. And the customer adds, let's say, they added half management and they do it for 20 employees at one other company if they really like it and it works really well then they'll add part of their other company. Now they're up to 100 individuals they're buying password management for. Those are the kind of trends we typically see with a new product.
Sanjit Singh: Makes perfect sense. Congrats again, guys.
Kevin Thompson: Thank you, Sanjit.
Operator: Our next question comes from the line of Heather Bellini from Goldman Sachs. Your line is open. 
Heather Bellini: Great. Thank you so much for the question. Kevin, I just wanted to talk a little bit about the ITSM market. I'm just wondering -- I know you -- that it's relatively recently tucked into the business, but could you share with us on the competitive environment maybe what percentage of the market you think is Greenfield versus competitive replacement? And when you are co-existing with other vendors, who's there most often, if you have a sense? Thank you. 
Kevin Thompson: Sure. Yes. If you look at the market opportunity Heather what I would say is most companies have something that they're using to try to manage at a minimum kind of helpdesk activity. So you submit a ticket somebody picks that ticket up, they do something with that ticket, they resolve the ticket and then they go on to the next issue that they need to address. So most companies have done some things. So whether that's a really basic piece of helpdesk software that they've got to deploy on-premise or whether that's a spreadsheet they're tracking those tickets on I believe some -- believe it or not some people still use spreadsheets. They're using something to try to manage that activity. But when you look at the small business up through kind of the high end of the mid-market so companies that have kind of 2,000, 3,000 employees most of them are using something I'd define more as basic helpdesk than true service desk. So they don't really have true workflow management and process management that allows them to be effective and efficient across the management of not only an incident, but also the management of all the assets that IT is responsible for. So I really define that as a primarily Greenfield opportunity because we want to take those companies from only being able to afford and be able to handle the complexity of helpdesk to be able to afford and deal with the complexity because we're going to take all the complexity away through service desk. So in any 5% of the companies that are out there today I think it's really more of a Greenfield opportunity than anything else. In the large enterprise they're using something they would consider to be ITSM. But even there there's some really good there are a few -- I'll say it differently -- a few good ITSM products out there and there's a bunch of old stuff out there that really isn't very good anymore. So I think there is an opportunity for replacement. But our focus initially is going to be just like when we first got to SolarWinds maybe fast forward a little bit because I think some products is better than our network management products when I got here in 2006. But assuming you fast forward in 2009-2010 on the services network management and systems management market, we have a really great set of products that solves a very broad set of problems. And the biggest opportunity we saw that we can take advantage of the most quickly was in the mid-market and the SMB. So we're going to really aim at the mid-market or the SMB right now. We'll win some large companies while we're at it because our customers trust us and if we offer it a lot of them are going to look at it. So our primary focus will be mid-market and SMB where it's mainly Greenfield right now.
Heather Bellini: Great. Thank you very much.
Kevin Thompson: Thank you.
Operator: Our next question comes from the line of Matt Hedberg from RBC Capital Markets. Your line is open. 
Matt Swanson: Thanks. This is Matt Swanson on for Matt. We talked the last quarter about investing in international markets. I think we called out Germany specifically. Could you just talk about with some of the macro unevenness if this changes any of your plans from an investment standpoint whether it's time to double down or pull back a little from the region?
Kevin Thompson: It doesn't really change any of our plans. We've already begun the investment process in Germany. We have moved the senior leaders in Germany. We have got to have resources in that market to really take advantage of the opportunity we have. We do a decent amount in Germany already. As I said before, Germany should be our largest single market in Europe and it's not. It's not even close to our single largest market in Europe. And so there's a big growth opportunity for us. So that investment is already well underway and moving down the path. And hopefully by the end of this year we'll start to see some level of the impact from that investment. We also talked about moving our application in cloud management products globally. That will happen in the third quarter. We'll add the sales reps outside the U.S. and start to do some marketing outside the U.S. because we do believe there's an opportunity there. And the last thing we kind of briefly mentioned and I said hey, we're going to start to invest in it but don't ask me about it every quarter because it's going to be slow. In Japan, we have added a General Manager in Japan. We have increased investment just by a small amount in Japan. We're beginning to drive some activity. That will be the least impactful in the short-term of our investments, but I believe it is a big opportunity in the long term but it's going to be a much slower burn. So no nothing we've seen is going to change the investment strategy or pace that we have planned for this year.
Matt Swanson: That's helpful. And then if I could just circle back on the SIM product, could you just talk about from a capability standpoint what kind of all changed from the product that's replacing in the log of event management?
Kevin Thompson: Yes. So really what we've done is we've taken a product that we have and we've really improved the security positioning of that product and kind of relaunched it with a lot of SIM messaging around it. Initially we did a bunch of front-end work on it to improve the user experience. And so what the product historically was really good at was kind of the compliance use case of logs, it was being used by a lot of companies to deal with things like HIPAA compliance and that kind of stuff regional banks small insurance company on the compliance side of security, which is an area too that we really like, because that doesn't really change that rapidly. So it allows you to build the technology at a really low cost and not have high cost of constantly running the product. But what we've done is -- that product had a lot of security information and event capability, we just hadn't brought them to the surface through the UI. So the real work we had to do was do work around the UI to bring the events that we're seeing to the surface so that a customer can actually see them. And so we made that product so it's a much more kind of broad use case than it was before. So it's relatively easy to use really easy to use compared to any other SIM product. I won't say it's the easiest to use product that we own, but it's very easy to use compared to any other SIM product and priced at a fraction of the competitors in the marketplace. So it is a really good strong basic log data to capture the security information event tell you what happens, tell you what you need to do to address the issue and do that very quickly and do it in a really low cost. So it's a really great little product. And I think with the changes we've made in it we expect that that product will start to grow at a faster pace than it's been growing.
Matt Swanson: Thank you.
Kevin Thompson: Yep.
Operator: Our next question comes from the line of Terry Tillman from SunTrust. Your line is open.
Nick Negulic: Hi, guys. This is actually Nick on for Terry. Thanks for taking the question. So I guess looking at the long-term model, how should we think about investing for growth versus showing further operating leverage? The company already has managed its profit level, so can you keep doing this steadily? And where are some more intriguing areas where operating leverage could potentially play out?
Bart Kalsu: So yes, this is Bart. So we talked about the fact that we're going to invest wisely is what I would say. So we know that leverage is a touchy subject to some of our investors, so we're committed to getting our leverage closer to that three times number. But we're going to do that over time and we're not going to let M&A stand in the way of us doing deals -- I mean of us impacting our leverage. So we know that minus any other M&A activity we'll be around 3.5 times levered at the end of the year. But if there's the opportunity out there for us to do a deal we're not going to do it just in spite of the fact that our leverage -- that we're committed to getting to a certain leverage number.
Kevin Thompson: And from a profitability perspective, I think we have -- what we consistently said, is we're going to let the margin rise. We're going to let it more rise at a very measured pace that we're not going to let them get out in front of us. And our model has the ability to throw off a tremendous level of profitability. It can be more profitable very, very quickly if we like it to be. And so it's really that the approach we've taken is we're going to let margins rise. We're going to let them rise relatively slowly. We'll let them rise relatively slowly over a number of years, because then there's a decent amount of expansion left in our margin profile. But we're not going to let it come up at a point a year, not that the model won't do that it could; it's just we don't think that's the right decision for us to make. We will be letting them up slowly we'll invest some of the margin that would have naturally come through to continue to drive growth, but you should expect margins to continue to come at a very measured pace over time.
Nick Negulic: Okay, great. Thanks guys.
Operator: Our next question comes from the line of Matthew Wells from Citi. Your line is open.
Matthew Wells: Hey, it's Matthew Wells from Citi. Kevin, thanks for taking my question. In the quarter license and maintenance looked pretty strong. I'm just curious if you've observed any changes in the competitive landscape in the core network management business, but specifically how you're positioned as these on-prem customers move to the cloud?
Kevin Thompson: Yes. So I think that when you look to network management business, we have not seen any real change to the competitive positioning. I think what we have seen and this is something that we've been saying for a long time is cloud does not remove the critical nature of the network. In fact, cloud makes the network more critical than it was before, because you can't access those assets if you don't have connectivity to those assets. And in fact connectivity is not really strong, if you don't have fast connection. If that connection is not always available when you need it, then the ability to get to those assets that are deployed remotely from the user becomes a real issue. So network performance is a bigger issue today than it was three years ago. And we think network performance will continue to be a larger issue as we move into the future than it is even today. So I think the opportunity in network management is not one that will shrink with cloud. In fact, it's one that will continue to grow with applications deployed in the public cloud. And we think we're well positioned to be able to provide a set of capabilities to our customers and the prospects for that matter to be able to manage not only their environment inside the firewall, but to manage their connection between that environment and what is in the public cloud. And then also to be able to manage any connection that need to be managed in order to show our performance is high in the public cloud. So I'm not saying we have every piece of functionality, we believe we ultimately need, we don't. As there are still some things we need to add to our network management capability as the level of demand gets to a higher level. As you know, we aren't typically building in advance of demand, we're building behind demand. We want demand to exist. We want the problem to be understood. We want the user to be able to tell us. Here's exactly what I need to solve the problem I have in order to take advantage of the opportunity in front of me. Now when I build something for them, they're going to use it immediately and it's going to be successful. So, there's still some things ultimately we believe we'll need to add to that network management portfolio as cloud continue to evolve and grow, but we think we're really well positioned for where the world is right now.
Matthew Wells: That's helpful color. And I just had a follow-up. Kind of switching gears last quarter you spoke to 30%-plus growth rates in that Samanage asset. After owning it for a quarter, do you have any incremental confidence here?
Kevin Thompson: I would say I'm just as confident as we were in the last quarter when we gave that outlook. I think there's absolutely an opportunity just given the size of the market to be able to grow faster than that over time. But we still have dedicated -- we still have a lot to learn. How do we get this into our customer base? We know our customers are interested in the product. How do we get them to actually buy the product? We got some small success already, which is great. But I want to turn small success into a large success. So, I think we're going to learn a lot over the next two quarters that will give us better visibility into what it's going to take to make those growth rates even faster than what we laid out in the last call. But our confidence in the growth rates, we laid out on the last call continue to be high.
Matthew Wells: Make sense. Thanks for taking my questions.
Kevin Thompson: And now, we have time for one more question.
Operator: Thank you. And our last question comes from Raimo Lenschow from Barclays. Your line is open.
Mohit Gogia: Hey, guys. This is Mohit on for Raimo. Thanks for squeezing me here. So, I will also add my congrats on the quarter as well, great numbers across the board. And I think I just want to ask a high-level question in terms of the product road map. Looking out, so you guys touched on sort of like security. You guys touched on application management, what's going on there, and obviously the leadership position in network management. So, I'm wondering if you look from the lens of where you are now versus where you want to be, specific to AI, integrating AI ops across the portfolio. I'm just wondering if you can unpack as to where do you think you are in that journey and where you think sort of like you will want to be as AI ops get more steam among the customer base. Thanks for taking my question guys.
Kevin Thompson: Yes. So where I'd say, we are as it relates to AI ops, we're at a really basic level. We have some amount of AI capability across the portfolio. So we have that in our core network and systems management product. We have some in our ITSM product and we've got some really basic capability in our MSP product line. So we have some really basic capabilities, but we are really early and very basic. And why? It really goes back to the comment I made just a couple of minutes ago, which is we are going to build technology behind the growth in demand for that technology. I will wait and make sure that we really understand, and more importantly, that the user really understand exactly what they want, and exactly what they need and they can tell us very clearly what that is. Because once they can tell very clearly what that is, then I can build them something that will meet their needs to use the word perfectly or as perfectly as a piece of software can be built, and I can price it at a level that's going to make it really, really compelling or if I try to guess and I try to build in advance, and I try to convince you what you need that's a whole different value proposition. So I think we're right where we need to be right now, which is we have the really basic capability, we have an understanding of the technology, but we are waiting for the market to mature. So we have a very clear view of exactly what it is that users are going to want. Because there's a lot of things you could do, but a lot of that you shouldn't do and a lot of that you won't need to do. And we want to wait until that is really fully fleshed out. And keep in mind we're trying to serve the entire market very, very small or very, very large. And AI is something that very large companies are playing with. They're not super comfortable with it, meaning these aren't the really large -- CIOs of really large companies. They're going to use a product that have some level of AI. But what I'll guarantee you is right now, they're not allowing that product on an automated basis based on that AI to make changes to their environment. They're allowing it to tell them what it should do. And 99% of them are stopping it, and making they're okay with it before the change gets made. Because even they don't have the level of comfort yet that. They just want to let all that happen in an automated basis, because if it's not right a lot of bad things can happen. So we're super, super early in that part of the market right now, but I think we're right where we want to be. And we will be there when we need to be there with the capability that every -- I'll use the word that every man needs, so the IT guy at every company needs. We won't be there in the short term with the things that only the Fortune 500 wants. So with that, I think we're going to wrap the call up. Thanks everyone for listening to the call.
Operator: And this concludes today's conference call. You may now disconnect.